Operator: Good day and welcome to the DISH Network Corporation Q1 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Jason Kiser. Please go ahead, sir.
Jason Kiser - DISH Network Corp.: Thanks, Isaac. Well, thanks for joining us. This is Jason Kiser, Treasurer here at DISH Network. Joined today by Charlie Ergen, our Chairman and CEO; Tom Cullen, EVP of Corporate Development; Roger Lynch, CEO of Sling TV; Erik Carlson, President of DISH Network; Steve Swain, our CFO; Paul Orban, our Controller; and Stan Dodge, our General Counsel. We're going to open it up for Q&A, but we do need to do our Safe Harbor disclosures. So for that, we'll turn it over to Stan.
R. Stanton Dodge - DISH Network Corp.: Thanks, Jason, and good morning, everyone, and thank you for joining us. We ask that media representatives not identify participants or their firms in your reports. We also do not allow audio-taping and ask that you respect that. All statements we make during this call that are not statements of historical fact constitute forward-looking statements which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-K. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements that we make wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements which we assume no responsibility for updating. And with that out of the way, I'm going to turn it over to our CFO, Steve Swain.
Steven E. Swain - DISH Network Corp.: Thanks, Stan. During the first quarter, DISH completed a transaction with EchoStar which was (01:30). EchoStar transferred to us certain assets and operations of the EchoStar technologies and EchoStar broadcasting businesses. These businesses and their associated IP design, develop and distribute set-top boxes, provide satellite uplinking services and develop streaming video technologies. In addition, we received investments in high frequency spectrum bonuses, joint ventures such as NagraStar (01:57), certain real estate, as well as the remaining 10% interest in Sling TV. In exchange, we transferred to EchoStar our tracking stock, representing an 80% economic interest in the Hughes residential retail satellite broadband business. We believe that this transaction will give DISH more direct control over the product development of our Pay-TV business, which includes Sling TV and it is projected to be modestly accretive to free cash flow due to the elimination of EchoStar's profit margin as well as other efficiency initiatives. Because the transaction was between entities that are under common control, accounting rules require us to recast our numbers as of the earliest period presented to include the impact of this transaction. The impact of recasting the first quarter of 2016 increased our equipment revenue by $40 million primarily due to international set-top box sales to third-parties. Our next income increased by $10.6 million primarily due to the margin on those international equipment sales and the elimination of the margin on the transferred products and services we previously purchased from EchoStar. To build your financial models, the 2016 recasted income statements by quarter are presented in the MD&A section of our 10-Q. Regarding the balance sheet, the transferred assets were recorded at net book value and the tracking stock was removed with the difference booked (03:32) capital. Also similar to the P&L, we adjusted PP&E and inventory to remove the set-top box and accessories margin which we had previously paid to EchoStar. Separately, during the quarter, we entered into an agreement which Hughes, which allows us to market and install the Hughes broadband service. Hughes will make certain payments to us for each sale and installation. Please note, subscribers acquired under this agreement will be Hughes branded retail subscribers and therefore, will not be included in our broadband subscriber count. As a result, our broadband subscriber count related to the Hughes service will decline through customer attrition. More broadly, with only wholesale economics, we believe this is the right time for us economically and for our Pay-TV customers to pivot away from the wholesale model. A model in which we pay acquisition costs but has significantly lower margins relative to our competitors. For additional information, please see our 10-Q that was filed this morning. With that, Isaac, we will now open up the call for, first, analyst Q&A and then media Q&A.
Operator: Perfect. Thank you. And we'll take our first question from Phil Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hi, guys. Thanks. Two, if I can. Charlie, can you talk about your spectrum strategy going into the auction and how you ended up? How does having the 600 megahertz spectrum change the value of the overall portfolio? And then second for Steve. Can you quantify for us the litigation impact from the first quarter that impacted G&A? Thank you.
Charles William Ergen - DISH Network Corp.: Okay. Phil, it's Charlie. I'll take the first part. You never know what an auction is going to do. So – but our strategy going in, first, we thought it would go for materially higher than it did. But our strategy was to get one nationwide block of low-band spectrum because it does so many other things for our spectrum portfolio. Obviously, 600 low-band propagates farther. So in terms of penetration through walls and basements and things for your signal, that was an important part of where we were trying to go. Second, when you start looking at the Internet of Things and all the devices you're going be connecting in the future, low-band is ideal for Internet of Things and that technology is going to change quite a bit with 5G and so there's a focus there. We were pleasantly surprised that as the auction went on, it became clear at the end of the – the first round or the second round that the price was not going up; that it was going stay sub-$20 billion based on our projections. And we felt that was probably in excess of $0.50 on the dollar in terms of real value for the spectrum. So we were then able to not only get our nationwide spectrum but also then to stay in the bigger cities where we felt that the – particularly the Internet of Things would be beneficial. So one of the things about auctions today is that the way the FCC does it it's based on population. So everything – every analyst and everything, I always quote megahertz per pop. But the last several auctions, we've kind of looked at where we think things are going and we look at it on megahertz per thing, not megahertz per pop or megahertz per microprocessor. So whether it'd be streetlights or heart monitors or automobiles or drones or whatever, we've always looked at it as a megahertz per thing. And when you do that, obviously the more densely populated cities are quite a bit of a bargain discount, if you believe our theory is right on that. So that was the strategy. We were pleasantly surprised. Pleased to be one of two companies that got nationwide blocks in the auction. So, Steve?
Steven E. Swain - DISH Network Corp.: Yes. Phil, so unfortunately, I can't quantify the litigation impact because these settlements were confidential. I can say that even without the litigation impacts, we would have been down year-over-year on the G&A line.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Thanks, Steve.
Steven E. Swain - DISH Network Corp.: Sure.
Operator: And we'll take our next question from Walter Piecyk with BTIG. Please go ahead.
Walter Piecyk - BTIG LLC: Thanks. Charlie, when the FCC made the decision on the designated entity bidding credits, I think you had mentioned something like they obviously don't want us to be a competitor and maybe look to sell it and I think at the time, you might have even talked about, Jason breaking up or looking at ways to have those assets in different buckets. Now that you've come away with this 600 megahertz band, I mean, it's a more complete package, has your view on that changed? And should we rule out the possibility of you selling any of this stuff in pieces and this is more kind of a do something with it in its entirety or – and only if someone's willing to pay for it in its entirety, would you actually willing to sell it? Thanks.
Charles William Ergen - DISH Network Corp.: I guess on the AWS-3 auction where we obviously participated with two designated entities, I think at least we were – at least myself personally, beyond depressed when the FCC ruled that they would disallow the discounts, because I knew that we had followed the rules and the precedent that – and every other company had taken – all of our competitors taken advantage of the discounts in such a massive auction. But obviously, the number was quite big but, on a relative basis, it really wasn't just anything historical, and it's no different. And then at the same time, you have an auction of airways for broadcasters where the government gave them spectrum for free and they just walked away with $10 billion and not a word is said about the fact that broadcasters walked away with $10 billion of profits for something they got for free and we were buying spectrum. So, to me, I don't believe it was fair. And probably more disconcerting, we were never allowed to come into the FCC and to the extent they had issues with it to work through those issues with the FCC so that the outcome was fair. So obviously that's in litigation today. That's in front of the courts. The courts will decide whether the FCC followed within jurisdiction or whether they didn't. And we'll live – who knows how long that will go on. But look we're going live with – you can always have honest disagreements. We have an honest disagreement with the past administration on that one. And we'll see what the courts come through. Having said that, we aren't giving up and we didn't give up and we're not giving up. And so we're really pleased to strengthen our spectrum position and our strategic position and we're not going to rule anything out and we're not going to rule anything in.
Walter Piecyk - BTIG LLC: Okay. So even though it's a more complete package now, you don't rule out – in certain situations, if someone wanted to buy a piece of the package that you would consider that as well?
Charles William Ergen - DISH Network Corp.: Well, I mean, I think that there are – look, I think there's interesting parts in this auction. I think it's – I don't want to speak for AT&T, but it's pretty clear that they didn't bid – I don't believe they placed a bid of any consequence after the first round. And obviously with their – excuse me, first stage. And obviously, with their selection in the FirstNet sweepstakes, that may be a lower priority to them. So there's people perhaps that are in this auction that have other strategic interest and there's certainly things that could happen where you can see, just like in football, somebody's got a good tight end and somebody needs a defensive back and you can see things happening with any number of companies. But you got to have a portfolio to play there.
Walter Piecyk - BTIG LLC: Okay. Understood. And I think Rich wants to try and pin you down on a Sling number. Standby.
Rich Greenfield - BTIG LLC: So and, Charlie, last month comScore reported that Sling subs, if you include both domestic and international subscribers to at least one of your Sling packages, was something like 700,000 in July of 2016 and moved all the way up to 1.9 million by the end of 2016. Curious if that type of dramatic acceleration in Sling actually happened in the latter half of 2016 and what drove it. And just from a higher level, I guess, is it now conceivable that Sling, in some form, domestic, international, that that represents upwards of 15% of overall DISH video subscribers.
Roger Lynch - DISH Network Corp.: Hey, Rich. It's Roger. I'm going to field this one. Just on your second one, we don't break out Sling numbers separately, so can't answer that. Certainly, the second half of the year is a strong content time of year for us given all of the college and NFL football that occurs. So seasonally, we traditionally see stronger growth during the last four months of the year than we do in other periods of similar length throughout the year. So we can't comment on specific numbers but that is a seasonally strong period for us.
Rich Greenfield - BTIG LLC: And the other services that have launched haven't notably changed the trajectory of Sling, meaning competitors?
Roger Lynch - DISH Network Corp.: The other services that have launched have all really been big bundle OTT services, so largely replicating traditional Pay-TV packages. And so when I look at our portfolio with Sling Orange, which is at $20, the closest competitor really is about 75% higher price point, plus we have this ability to pick and choose the genres you want to add on, or our Sling Blue service, which, at $25, is quite attractive, has a lot of content in it. And obviously it doesn't have ESPN in it. We know a lot of people like ESPN but there are people who don't want to pay for ESPN. And so that gives us a cost advantage for that package compared to some of the other big bundles – for that service, sorry, compared to those other big bundles.
Rich Greenfield - BTIG LLC: Thanks very much.
Operator: And we'll take our next question from John Hodulik with UBS. Please go ahead.
John C. Hodulik - UBS Securities LLC: Great. Thanks. Charlie, could you talk about your view on the sort of timing of the 5G rollout in the United States and sort of your view on how the technology is progressing? And then secondly, the big carriers seem to be focusing on the millimeter wave portion of the spectrum, whereas you're focused more on the sort of low and mid band. One, do you think their focus on the very high frequencies is misplaced? And where do you think the bulk of the heavy lifting on 5G will take place? Thanks.
Charles William Ergen - DISH Network Corp.: Yeah. So I mean, there's – and there's a lot of misconception about 5G but I think I want to now – if you've ever watched Spinal Tap, I want to announce here first and foremost that we're going turn the volume up to 11 and we're going for – we're going to build out 11G and we're just going to go from 5G to 11G. And obviously, I'm being facetious that the 5G standard is not set yet so there's – you're not going to see true 5G until 2020 and probably 2021 in terms of 5G. And the main things that – 5G is going to – it does a couple things, but one is much lower latency, which brings in things like autonomous vehicles, health care and things into a network that maybe won't work ideally on existing networks. It certainly brings in Internet of Things in a way that with millions of devices it can connect at one time that you really can't do on existing infrastructure today. And of course, obviously it's more – it's going to bring 10, 20, 100 times more capacity in certain areas and adds things like millimeter wave technology. So it is a very transitional, it is a very big paradigm shift. And I think from a marketing people – marketing thing, people are going to want – jump the gun and call things 5G, but I don't think, you're – as an American consumer you're going to get anything truly 5G standard, just the total standard, until at least 2020. As far as millimeter wave technology, I think it's very interesting technology. We have believed that for long time. We participated in the auction, the 28-gig auction. Gosh, it's been like 15 years ago, so we own four cities of 28-gig technology. But we also participated in MVDDS auction with 12-gig frequencies and that we have in most of the major cities in the United States and we're part of the MVDDS coalition that we believe that is the way for the government to add another 500 megahertz of spectrum that can be used for terrestrial use. We use that for satellite today. And we've worked with both the past and the current administrations to explain how that can help fund some of the spectrum gap out there. So we're hopeful that – we just missed getting on the rulemaking for spectrum frontiers last time. We'll hope that the current administration will put that spectrum on public notice or in the rulemaking, so that people can comment. But that's certainly a place for the government to add another 500 megahertz of spectrum. And again, it's technically centimeter wave technology. It has better propagation technique – characteristics than 28-gig does and you can imagine a lot of uses in the spectrum deficit, how you could use that. So I think we're very well positioned, if higher frequencies find a home, we think we're well positioned there.
John C. Hodulik - UBS Securities LLC: Okay. Thanks.
Operator: And we'll take our next question from Amy Yong with Macquarie. Please go ahead.
Amy Yong - Macquarie Capital (USA), Inc.: Thanks. Two questions. So first, Charlie, just following up on the timing question. Can you talk about how some of the build-out requirements impact your decision on moving ahead with the spectrum build-out? And whether or not you feel that with a potential consolidation on the carrier side, namely T-Mobile and Sprint, if you feel like that leads you to any urgency to make a decision one way or the other? And then, Steve, can you talk about the ARPU impact from Sling TV and how we should think about the mix impact on total ARPU? Thank you.
Charles William Ergen - DISH Network Corp.: Okay, Amy, on the build-out, one of the things I learned long ago is we focus on the things we can control. So while there's going be a lot of noise and there's certainly going to be talk of consolidation and lots of rumors about this company and that company doing something together, the one thing we can control is our build-out. And we have committed to the FCC that we will build out a narrow-band to IoT network to perfect our license by March of 2020. Because of our spectrum position with the different bands we have, now with 600 megahertz in the mix as well, there are several different ways we could build that network out. Ideally, we'd like to build out 600 in the IoT network. But because of the 39-month clearing schedule, it's possible that to meet that deadline in March of 2020 that we can't necessarily use 600 in the way that we'd like to do it because that's a great frequency for that. So Tom and his team are now meeting with the vendors and we're also talking to the industry about what they want to see in an IoT network. And then we'll make some decisions later this year as to the frequencies that we're going to build out and then start the planning process and then start to build probably – we got to get – we have to get equipment and then start to build late next year and complete it by March of 2020. So that's the one thing we can control. We feel like our balance sheet can support that build. We believe that that's what we control. In the meantime, I think obviously there's – in terms of the industry, I think there certainly will be a lot of discussions between people in the industry, potentially people outside the industry. Certainly, the potential of lighter regulatory in this administration could lead to some consolidation in ways that maybe weren't contemplated in the previous administration. And we have a tremendous set of assets at DISH. And it's our job as management to put those assets to work in the most economic long-term model that makes sense for our shareholders and for our customers. And that's what we'll do.
Steven E. Swain - DISH Network Corp.: Yes, Amy. For ARPU, you're right. Sling TV subscribers on average purchase the lower-price programming compared to DBS. So therefore, as Sling TV subscribers increase, the weighted average Pay-TV ARPU will be lower. For DBS, we are seeing some subscribers shift to smaller, less expense packaging, commonly, as you know, known as cord shaving. Seeing that these customers want less robust packages, we did add Flex Pack, which is a skinny bundle option. And while the Flex Pack adds pressure to ARPU growth on the DBS side, we believe the function of Flex Pack as a churn-reducing save tactic increases margins in the instances where we had previously offered customers loyalty credits.
Amy Yong - Macquarie Capital (USA), Inc.: Got it. Thank you.
Operator: And we'll take our next question from Tom Eagan with Telsey Advisory Group. Please go ahead.
Thomas William Eagan - Telsey Advisory Group: Great, thank you. Two questions. First, on the changing competitive dynamic in video, what we saw in the quarter or last quarter was DIRECTV didn't add subs for the first time in about six quarters due perhaps to higher churn because their subscribers are going to cable bundled with broadband and I guess over the top. So are you guys seeing anything incremental in terms of the competitive dynamic? And are you seeing Sling getting more subs from DIRECTV satellite? And then I have a follow-up. Thanks.
Charles William Ergen - DISH Network Corp.: Yeah. This is Charlie. I think your thesis is generally correct and I think we've been talking about that for at least five years, that that's kind of what we foresaw that the bundle – there's a lot of dynamics, but the bundle where programmers had a lot of leverage over the distribution path and you're forced to take not one or two channels or the top three rated channels from an event. But you may take 11, 12, 15 channels of which 10 of them maybe you don't really want, but you got to pass those costs onto consumers. And the second dynamic is retransmission consent has gone up thousands of percent to the point where the cost of your local networks now exceed, for the most part, almost every channel but ESPN. And that dynamic is such that – and in all these cases, the ratings of the particular networks, for the most part, have gone down. And in the broadcasters' case, they've gone down significantly. So that's a dynamic that pushes people away from Pay-TV all together. And for those who stay in Pay-TV, they're going to go down to lower-cost alternatives. Less advertising, more binge viewing and the kind of things that have led to the rise of things like Netflix. So that's the dynamic that's out there. So one of the things that we've done is in recognizing those trends; obviously, we have pivoted the company to a connectivity company and have tried to invest in those things that we think have long-term returns and invest less in our traditional business. So we're less likely to invest in a DBS subscriber in Boston, Massachusetts, where they've got good Internet connection from multiple sources who have an advantage in bundling both broadband and potentially OTT video. Roger then set on task – it's been almost six years now that Roger was set the course to come up with product that would be meaningful to consumers in that environment. So we think that we're well-positioned there. We think we're disciplined. We think that despite the fact that analysts and headlines are about sub loss or sub gain or this ARPU or that ARPU or this quarter or that quarter, we think we're very well-disciplined to take the – one of the few companies that can take a long-term view of it and say we're not afraid to change. We see the change happening and how do we take advantage of the change in a way that perhaps our competitors aren't doing or are slow to react or want to hold onto what they have but aren't really going to where the future is. And so it's difficult. There's course studies in MBA schools. There's a book written about it in terms of the entrepreneur's dilemma or whatever it's called, and we're living that every day. I forget the other part of the question. Was it -
Roger Lynch - DISH Network Corp.: ...competitor impact.
Charles William Ergen - DISH Network Corp.: Yeah, Roger, can you address it?
Roger Lynch - DISH Network Corp.: Yeah, it's Roger. I'd say, well, one thing I've noticed is with the launch of these other OTT services, starting with DIRECTV NOW, they are bigger bundle packages. And so we're seeing Sling customers increasingly taking more add-on packs. So it may be a different class of customers coming into the market spurred by the big bundles that have launched in OTT. But we're definitely seeing customers who are taking more add-on packs that is certainly correlated with that.
Charles William Ergen - DISH Network Corp.: Yeah, and this is Charlie. I think strategically when we started Sling, we were not looking to replace the cable bundle. We were not looking to take a cable subscriber or for that matter a satellite subscriber and suddenly convert them into an OTT because that was adding SAC to get the same customer. So that has not been our primary objective. Having said that, it appears that where Hulu and YouTube and DIRECTV NOW and Sony are, that they all are basically replicating the cable bundle. And so there's no question now that it's game on to convert a cable subscriber to an OTT subscriber for essentially the same services. So all those guys have, example, the Disney products with ESPN, which is, as you know, one of the most costly. And yet, studies show and we know from our own internal data that the vast majority of people do not actually watch ESPN particularly year-round. So you're ending up at – so that maybe there's a different strategy in there that works long term. If everybody's going north, maybe you should go northwest in life.
Thomas William Eagan - Telsey Advisory Group: Well, looking -
Charles William Ergen - DISH Network Corp.: Maybe not. Maybe you should go north, but maybe you should go northwest. So my point is that I think the OTT model probably initially is going be a license to lose money for people as they price things below cost. Eventually, it'll sort its way out. And there'll probably be several different strategies within the OTT world. And Roger and his team are well-acquainted with potential avenues they could take.
Thomas William Eagan - Telsey Advisory Group: Well, in that vein, Charlie, OTT services to me seem like they're frenemies, right? So they compete with each other but they also – if they get together, they can change the market and they can grow it, right? Do you see a tipping point that's going to be particularly notable as they cannibalize – they go from cannibalizing each other to taking more share away from Pay-TV?
Charles William Ergen - DISH Network Corp.: Well, my belief is that OTT will take share away from Pay-TV. So satellite and cable will be smaller five years from now than they are today. And so satellite, you're already seeing that reduction, right, and satellite and phone companies, you've seen reductions really for the last couple of years. Cable, I think, with the strength of broadband has been able to kind of tread water and I think actually potentially gain some subs. And I think ultimately that will reverse too and that you will see a natural evolution to an OTT product because OTT in many ways can be a superior product. It can be less expensive and it can be superior. The question's going be what do those OTT bundles look like and how chopped up does the consumer get because he's going to have a lot more choice. And when he has more choice, he's going to go different directions. And meanwhile, obviously, Amazon and Netflix continue to grow. So it's a very interesting dynamic. The one thing I know – the reason I sleep at night pretty well is that all those people have one thing in common. They need to be connected. They need connectivity for those customers to receive video. And we know, Roger knows that the vast majority of sessions for people who are taking OTT services are actually not on your TV screen but on mobile devices. So that means that you need wireless spectrum to connect, right? And so that's one point. Second point I'd make is you're in a regulatory environment where the current administration has said they're not in favor of – I don't want to put words in their mouth. But I think, correct me if I'm wrong, they're not really in favor of Title II. They're going to do a rule-making on net neutrality and that there's probably a lighter regulatory touch with that, which I would think to mean that the balance of power between distribution and content owners gets a little bit more level.
Thomas William Eagan - Telsey Advisory Group: Super. Thank you.
Operator: And we'll take our next question from Vijay Jayant with Evercore ISI. Please go ahead.
Vijay Jayant - Evercore ISI: Thanks. Charlie, based on your last comment, so are you sort of implying that if wireless net neutrality is reversed, then Silicon Valley edge providers may have more interest in controlling a distribution network in wireless? And second, on your comments on Sling, most of these media companies all tell us that they're sort of arbitraging indifferently by selling content to these new platforms and the economics are the same, if not better. But you've had the product for the longest time and you haven't seen any rate increase. I'm assuming your underlying programming costs are increasing. And sort of can you just talk more about the profitability and the sustainability of the OTT model? Thanks.
Charles William Ergen - DISH Network Corp.: Yeah. Let me take the second part first. It's true that potentially OTT economics and what we traditionally see in linear could be relatively the same for an incremental customer, right, in part because your SAC is so much lower for your OTT product and you have the potential for an advertising model to be dramatically better, right? So that has to be all proven out, but the theory there I think still holds. Having said that, you don't know what – when people have alternative motives, if you're selling video but you're also selling shipping services, you may subsidize one over the other. If you're selling wireless data plans and that's very profitable, you may subsidize something else. So I think there's going to be some dynamics in the industry where the models move all over the place. We'll just have to wait and see. But again, for us, we control what we control as we have to make a technically great product, a good user interface and make sure that within our programming contracts and the way that they're offered to the consumer is both unique and economical. And so that's kind of how we focus. And then on your question about Silicon Valley, I do think that it's not really – let me answer broader. I do think that now that the quiet period's over and for the foreseeable future most of the spectrum is auctioned off in the United States with minor exception, that there – and with technology and the paradigm shift to 5G, that I think we'll see a couple of things. One is, I think, obviously, you could see consolidation within the wireless industry today with incumbents consolidating in some form or fashion. But I do believe that the cable industry has to take a good hard look at how they participate in this industry and potentially much more so than an MVNO deal. And I do think that one or more people from Silicon Valley will look at it more seriously, not just because of perhaps net neutrality regulations being weakened, but because their business depends on connectivity. Facebook, Mark Zuckerberg did his 10-year plan. His first slide on his 10-year plan, it only has one word for 10 years and it's called connectivity. And so whether it be balloons or drones or connectivity or autonomous vehicles or healthcare, Silicon Valley is all over connectivity. And they're going to have to make sure that in a world of net neutrality, maybe Title II being eliminated; at least I would think they have to make sure that they're positioned so that they're not in a situation where their traffic, their connectivity is clogged. And then there's a third entrant that may come, which is less likely but still possible, is on the international side. I think that somebody ultimately is going to put together worldwide connectivity and worldwide – both on the satellite and a terrestrial basis. Obviously, the things like OneWeb on a satellite basis with low-earth satellites that could do worldwide connectivity and then you're going to do the same thing on the ground. So you're going to end up with possibilities there. So there's going to be a lot of movement. There's probably going to be a couple of phases of movement within the connectivity industry. And I'm pleased that we were able to participate in the 600-megahertz auction and strengthen our position in terms of where we can go and what we can do with connectivity. By the way, just as a thought, there was nobody in the last two auctions that has risked more capital in the connectivity business than DISH along with our DEs. And in the auction that was – the third auction, the H Block auction, we're the only major participant in that. So we've been the most aggressive in that. History will prove it's a good strategy or bad strategy. But for the investors on the call, all your investments that you're making today, whether it be – that you're looking at in the future, whether it be autonomous vehicles or augmented reality or virtual reality or artificial intelligence or how do we get healthcare costs under control or how do you get productivity in industrial manufacturing or agriculture or what do municipalities do to make their cities safer and more productive, how you do education, how you do entertainment; not one of those potential investors can survive without connectivity in the future. Not one of them. So one of the things that's interesting about where DISH is today is you can actually get a piece of all those investments by investing in one company because all those companies are going to have to use connectivity in their portfolio. They have to, right? That doesn't mean that there's not more money in the value-add on top of connectivity. Doesn't mean that sharing stuff with your friends about what you're watching or what you're cooking or whatever isn't more valuable because it might be. But you still have to be connected.
Vijay Jayant - Evercore ISI: Okay. Thanks so much.
Operator: And we'll take our next question from Marci Ryvicker with Wells Fargo. Please go ahead.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Two for Charlie and then one for Steve. Charlie, you talk about a network build. And I guess the question is are you planning to partner? Because the Wall Street perception is sort of that you have to and that it's unlikely to be Verizon or AT&T, that it could be someone like an Amazon or anyone else outside of the ecosystem. Second question would be, whether you would part with the DBS business separately from spectrum or should we think about those sort of married into one event if that was ever to happen? And then the question for Steve. Can you talk about trends in SAC longer term? So this was down 24% year-over-year. And if subscriber trends were to remain like this going forward, would the decline continue on this trend?
Charles William Ergen - DISH Network Corp.: Okay, Marci. On the network build, our focus today is to build out our network to meet our 2020 deadline with or without partners. So we're prepared to do it within our balance sheet. And with – again, it's going be a new narrowband IoT network that doesn't exist today. So it's going to attack the market from a little bit different way, but it's certainly very much needed in terms of the United States. Obviously, I believe that there would be opportunity – I hope that there's opportunity the next three years where other people – for a lot of different potential partnerships. For example, other people and that could be – it could be Verizon or AT&T or one of the other incumbents are where they're actually going to the tower to build out some of their spectrum. So for example, T-Mobile's going to go build 600 megahertz spectrum, maybe starting as early as later this year. There's opportunity there to say let's build that together. Let's build that at the same time and share the savings. AT&T and Verizon are going build their AWS-3 spectrum at some point. There's a chance to partner with those build-outs, even though you might be separate companies, in some cases you might be competitors. It still might make sense because both of you save money, so there's an opportunity. There's tower companies that have to look long-term for new revenue sources that might want to partner in a certain sort of way. And then as you mentioned, there's people outside the industry who might want to protect their connectivity who might like these things. So I think there's any number of combinations there. But for the – right now, we're going to control what we can control and that's to go out and build a narrowband IoT network by 2020. And I can only go back to when we were build satellites. I tried to get everybody in the world to build us a satellite. We were launching DBS and nobody would do it, so we got in the satellite business and built them ourself. And I think we're launching our 23 satellite this summer or something. So thank god nobody wanted to – I mean thank god nobody wanted to build them for us because it would've cost us a lot more money. But part of management is to figure out how you're going to do things and to be creative on how you're going to do things and to prove the skeptics wrong.
Marci L. Ryvicker - Wells Fargo Securities LLC: Does the 600 megahertz change the cost of the build-out?
Charles William Ergen - DISH Network Corp.: It does. It could – I guess it could. For example, I'm just a simple example, but we have some AWS-4 spectrum, its down-link only, in the 2.2 gig range. The limiting factor of your network is typically your uplink side. So now that we have 600 megahertz uplink nationwide, you could see with carrier aggregation that you could partner – you could put 600 megahertz with AWS-4 and your build-out costs could be materially less because you need less towers because you've solved some of your uplink propagation issues with 600 megahertz. So I could make the case that the – that there's potential that much of the $6.2 billion of 600 megahertz spectrum actually could result in savings both on the build-out and the future operating cost on a net present value that could equate to a number pretty close to that. So I'm not confident enough to say that for sure today, but my sense is that there is probably a large savings in the build-out costs based on the 600 megahertz purchase. The other question about separate DBS from – I've always felt that what we do at Sling and DBS and spectrum all go together. I think that our – I think with the 600 megahertz auction and the way that that really solidified the spectrum position we have that it is – it would be easier to separate some of our assets than it was before. But I still think they belong together. I mean obviously, one could now make the case that the – both the AT&T DBS and the DISH DBS could go together and there would obviously be tremendous synergy and savings in doing that. And that because of all the OT – that because the competition – it wouldn't be going from 4 to 3, it would be going from 4 to 10 because of Sony and YouTube – Google and Hulu. Those are all real competitors to the DBS players today. So it's not a – it probably is not a regulatory issue today to put those companies together. And clearly, those companies together would be more value for both those companies than probably the market gives them credit for today. What was the other question?
Steven E. Swain - DISH Network Corp.: So, Marci, on SAC. On a per subscriber basis, the SAC has been relatively stable if you will, per addition on the underlying DBS ads as well as the Sling ads. It really depends on the mix associated with Sling relative to DBS. Just taking a step back and looking at the strategy. For DBS, we have been saying for several quarters now we are acquiring and retaining higher quality customers by refocusing on worldwide of these. We're more disciplined on credit and we're executing on several costs and revenue initiatives. And as we've already mentioned on the Sling side, we expect to see ARPU and margin expansion as it gains scale. For instance, we haven't fully monetized our Sling addressable advertising revenue opportunity yet. And then lastly, I already mentioned this in my preamble but for dishNET, given the wholesale economics, we believe it's the right time for us economically, which impacts SAC, and for our Pay-TV customers to pivot away from the wholesale model. So you'll see less absolute dollars running through the P&L associated with the dishNET ads, as we pivot away from the wholesale model.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thank you very much.
Operator: And we'll take our next question from Jason Bazinet with Citi. Please go ahead.
Jason B. Bazinet - Citigroup Global Markets, Inc.: I had a question for Mr. Ergen. You talked about building a narrowband IoT network and also talked about looking at spectrum on the dollar per megahertz per thing basis as opposed to pop. I guess my question is this, do you really think in the next five years, there will be a business that is an IOT business, because maybe I'm too myopic, not forward thinking enough, but I sort of struggle with imagining a set of customers that could help your top line in the IoT space within five years. So if you could just elaborate on that a bit?
Charles William Ergen - DISH Network Corp.: Well, I guess I'd answer the question. IOT will be a huge business. And I wouldn't put the timeframe at five years. I think it will be evident to everyone within five years that it will be a huge business. Whether that will be just like the Internet was in the 1980s and people didn't realize that the Facebook and the Google were going to exist because of the – I think you're kind of in the same – I think it will go faster, but you're in the same situation where the possibility of Internet of Things is not going be – is going be underestimated long-term in terms of it just like the Internet was underestimated and the cloud has been underestimated. And now people are – the Fortune 500 companies of the future have been built from those businesses. So I think my – I believe Internet of Things will be huge. Whether we're sitting here five years from now, saying, it's X or Year, probably won't be that relevant because it's ultimately going be a thousand X at some point. It's just hard to put a timeframe on it. But you do need 5G so you're talking about 2021, probably 2022, to make it really work the way you want it to work. So I think – you already kind of have Internet of Things. I mean in a funny sort of way Facebook is Internet of Things, it just connects people to their social life, right? But when you can connect the city and your meters and your security and your lights and everything else, the city can be more efficient and the city can save money and so they're going to do it. And anything that's cheaper and better, you're going do, and the Internet of Things for sure is going to be cheaper and better. And I can think of a thousand things that need to get connected and there's probably another million things that we can't think of that other people will think of to be connected. And part of what we're looking at is our system to be open so that anybody who wants to participate in the network can invent things for the network.
Jason B. Bazinet - Citigroup Global Markets, Inc.: Okay. Thank you.
Charles William Ergen - DISH Network Corp.: Operator, I think we have time for one more before we go to the press.
Operator: Sounds great. Thank you. We'll take our final question from the analyst community. Our final analyst question comes from Craig Moffett with MoffettNathanson. Please go ahead.
Craig Eder Moffett - MoffettNathanson LLC: Thanks. Charlie, this is a question I think everybody has been trying to ask in lots of oblique ways, so let me just ask it a little more directly. How has your thinking evolved as to whether you would prefer to sell your spectrum, lease your spectrum, or lease the network, or just run it yourself? I guess as an outside observer, it would seem buying 600 megahertz spectrum is a lot more consistent with someone who actually wants to run a network than with someone who is looking to sell spectrum. Is that a reasonable interpretation of your participation in the auction?
Charles William Ergen - DISH Network Corp.: Well, I mean, I think one of the things you do when you start a business, you'd like that business to last more than 37 years, which is you'd like your business to last 100 years. So obviously we think pivoting to connectivity allows us to have a much longer runway for our company. But I think the way I would answer the question is, we're looking for whatever ultimately would enhance our shareholder value and our customers' and our employees' experience. And we think – at least today – we think that that is somebody who is looking at the wireless world in a disruptive manner that says the wireless connectivity in the United States is going to be different than four guys who you can make phone calls on and you can send a text and maybe you can stream a little bit of video, right, and you have an unlimited plan that's 22 gigs but they call it unlimited, so you have a limited unlimited plan. We think the world of wireless can be materially different than that. It can be different because there's a paradigm shift in technology, the way you build your radio, the way you're going to propagate your network, whether it be inside out, maybe inside out instead of outside in, whether your core and how you do your network, the ability to slice your network in different slices, the ability to let other people share your network. All those things are possible in the 5G world. And for somebody who shares that vision of where things can go, we could get pretty excited about. If somebody says we're going to just do the same thing we're doing today, we're not that interested in that because we don't think that builds long-term shareholder value for our shareholders. So we try to look at where things are going instead of where they are.
Craig Eder Moffett - MoffettNathanson LLC: Thank you, Charlie.
Operator: We will now take questions from the members of the media. Our first media question comes from Scott Moritz with Bloomberg. Please go ahead.
Scott Moritz - Bloomberg News: Hey, thanks. Charlie, I guess I know it's only been four days, but have you folks received any kind of inquiries yet on deals? And are you surprised at all by the activity or lack of activity in that period? And also a second question. A lot of speculation around Sprint, T-Mobile, obviously. If that deal happens, would you feel like you needed to object to it, try to block it? Or would you feel there are still many other options available to you?
Charles William Ergen - DISH Network Corp.: Yeah. Scott, you've known us for a while. We don't – we won't – we're pretty private. I'm certainly a pretty private individual. So we're not going to comment in any way on discussions that take place, don't take place, rumors that are true, rumors that are not true, rumors that are outlandish, or whatever. We're just not going to comment on that. And our conversations that we have with people, we keep private. So you're not going read about them in the paper or a book. So that's just the way we do business and we're continuing to do that. Obviously, there could be consolidation within the industry. Certainly, Sprint and T-Mobile would be a possible combination of companies. And if there were to be a combination of companies, we'd take a look at it to see whether we thought that that combination was detrimental to the consumer or detrimental to competition or not. And we wouldn't be opposed to consolidation just because it's consolidation. We'd only be opposed to it if we thought it had an impact on competition. So, we haven't objected to some consolidations in the past out there. And others, we have. And I think we're kind of like the justice department. We look at each – and the FCC. We look at each case individually and try to make a judgment as to how that's going to affect competition.
Operator: We'll take our next question from Ben Markus with Colorado Public Radio. Please go ahead.
Ben Markus - Colorado Public Radio: Hi, guys. Just generally looking back at the last few quarters, how is it that subscriber base and revenue is eroding yet profits are going up? Are you just becoming more efficient as a company?
Charles William Ergen - DISH Network Corp.: Ben, it's a good – I think it's because we've really turned our investment to the future investment – the majority of our future investment to connectivity and obviously in spectrum purchases so that we can be a viable company in the 21st century. So the return on investment in a mature industry normally declines. So the return on investment from a customer that we would go out and spend $800 SAC from 10 years ago is a different profile than if we go spend $800 a SAC for a customer today given the rising cost of programming and the decline in viewership of traditional linear channels. So I think we're just trying to allocate our capital more precisely. And what that has led to is pretty flat revenue. I mean, most economic metrics over the last couple years have been pretty flat for us, but we're building for the future and so you, while you're investing in the future, you're not going to get those revenues from the future. So we're just building on our first networks. It's going to take us three years to build our network, so we're not going get a ton of revenue from our investment for three more years, right? And then we think that that jump starts a whole another growth phase for DISH.
Operator: We'll take our next question with Jonathan Chaplin with New Street Research. Please go ahead.
Jonathan Chaplin - New Street Research LLP (US): Thanks. Question for Mr. Ergen. I'd just like to follow-up on your answer to Craig's question. Were you saying that effectively, if Verizon or AT&T wanted to buy your spectrum to support their existing business that you wouldn't sell it to them no matter what the price is? They have to share your vision of the future if you'd be willing to sell it? Or lease it to them?
Charles William Ergen - DISH Network Corp.: Jonathan, when did you get in the press?
Jonathan Chaplin - New Street Research LLP (US): I...
Charles William Ergen - DISH Network Corp.: You're such a great investment banker and analyst, you know, and now you're in the press? I didn't know that.
Jonathan Chaplin - New Street Research LLP (US): I'll do anything to speak to you, Mr. Ergen.
Charles William Ergen - DISH Network Corp.: Well, I appreciate that. I'm not saying that. What I'm saying is that, obviously, this is a board decision. If somebody came in and said, here's cash offer and you looked at tax consequences that offer was more than you thought you could do with your business yourself, that's something that our board would consider. To extent that you took equity for something like that you'd want to make sure your equity was going go up in value more than staying your current course. And so those are all the kind of considerations that you'd want to have out there. But the – most management in public companies has a hard time taking a long view, right and making long-term investments, because they get pounded by everybody if their sales go down or their earnings per share missed by a penny or whatever. So they have a hard time, which is why you see crazy offers where you can get – I mean, you could get Apple TV box that costs $150 but you could get it for $105 if you sign up for three months of programming that probably costs $150. So in that particular case that company probably lost $300 on every customer they got. Well, why would you do that? You might do that for strategic reasons but we also want to make sure your numbers don't go down for Wall Street. Well, I'd prefer to save the $300 and then put it into something else that's going make money long-term. So we really think the wireless industry is right for a new way of doing things and a new way that you would build a network and new architecture, take advantage of 5G and the Internet of Things and I don't doubt that there are people within the incumbents today that share that vision, right? Whether they can get through their boards and take long-term measures, it might be a different story. But to extent, they could I think they'd be attractive people to talk to.
Jonathan Chaplin - New Street Research LLP (US): Great. Thanks very much.
Charles William Ergen - DISH Network Corp.: Okay: Operator, thank you, and thank you for everybody on the phone for participating.
Operator: Absolutely. Thank you. And this concludes today's call. Thank you for your participation. You may now disconnect.